Operator: Good morning, and welcome to the Sensient Technologies Corporation 2021 Second Quarter Earnings Conference Call. All participants will be in a listen-only mode.  After today’s presentation there will an opportunity to ask questions.  Please note, this event is being recorded. I would now like to turn the conference over to Mr. Steve Rolfs. Please go ahead, sir.
Steve Rolfs: Good morning. Welcome to Sensient's second quarter earnings call. I'm Steve Rolfs, Senior Vice President and Chief Financial Officer of Sensient Technologies Corporation. I am joined this morning by Paul Manning, Sensient's Chairman, President and Chief Executive Officer.
Paul Manning: Thanks, Steve. Good morning. This morning, we released our second quarter results. Each of our groups delivered solid adjusted revenue and operating and adjusted operating profit growth in the quarter. Our Flavors & Extract Group had another outstanding quarter, reporting 9% adjusted local currency revenue growth and 13% adjusted local currency operating profit growth. Our Personal Care business rebounded substantially, contributing to the Color Group's 7% adjusted local currency revenue growth and 5% adjusted local currency profit growth. Asia-Pacific had another strong quarter, delivering 11% adjusted local currency revenue growth and over 22% adjusted local currency operating profit growth. On a consolidated basis, we reported 9% consolidated adjusted local currency revenue growth and mid-single-digit adjusted EBITDA growth in the quarter. I'm pleased with our results for the second quarter and for the first half of this year.
Steve Rolfs: Thank you, Paul. Our second quarter GAAP diluted earnings per share was $0.61. Included in these results are $7 million or approximately $0.16 per share of costs related to the divestitures and the cost of the operational improvement plan. In addition, our GAAP earnings per share this quarter include approximately $2.2 million of revenue, or $0.01 of cost related to the results of the divested operations. Last year's second quarter GAAP results included a gain related to the reclassification of accumulated foreign currency translation as a result of the sale of the Inks business and other divestiture-related costs. The combination of these items were included within the divestiture and other related costs, which increased last year's second quarter net earnings by $1 million, or approximately $0.02 per share. In addition, our GAAP earnings per share in the second quarter of 2020 include approximately $28.2 million of revenue and an immaterial amount of net earnings related to the divested product lines. Excluding these items, consolidated adjusted revenue was $333.6 million, an increase of 9.1% in local currency compared to the second quarter of 2020. Our adjusted local currency EBITDA was up approximately 6% for the quarter, and our adjusted local currency EPS was up 8.6% for the quarter. Our cash flow from operations was down in the second quarter, primarily due to an increase in sales activity in the second quarter of 2021 and the resulting use of cash to fund our working capital in the current quarter. While we are currently making strategic investments in our inventory positions to support our forecasted growth, we continue to remain focused on optimizing our working capital levels. In terms of capital expenditures, we continue to expect our spend to be around $65 million for the year. During the second quarter, we bought back approximately $11 million of company stock. As Paul stated earlier, we completed the acquisition of Flavor Solutions last week, and we are actively reviewing other potential acquisitions.
Operator:  Our first question comes from Ghansham Panjabi with Baird. Please go ahead.
Ghansham Panjabi: Yes. So just in context, as we kind of cycle through the back half of the year, we're seeing an increase in mobility in certain parts of the world, including the U.S., some lockdowns in Asia. A lot of companies have talked about raw material scarcity, there's an extreme weather event on the West Coast and so on. So can you sort of update us on, a, your sort of updated outlook on volumes for the 3 segments as we cycle into the back half of the year? And then also, on the raw materials side, what are you seeing at this point from a raw material inflation standpoint?
Paul Manning: So I think for the back half -- your first question, the back half looks very good for us in each of the groups. I think that certainly, there are certain -- well, there are geographies that are far more open than others. But in all cases, we see product launches continuing. We see good customer activity. Fundamentals of our business remain very good, whether there's a pandemic or not, folks need to eat, they need to drink, and in many cases, they continue to use personal care items as well. So I think that trend is always going to be solid for us, but there's certainly a sufficient activity in each of our markets that I feel very good about the back half of the year. I feel very good about the mid-single-digit growth rate. Volumes look good. The fact -- most of the growth in Q2 here and in Q1 has been volume-related. To your point about raw material, a hallmark of our business is that input costs can go up, but we have a very strong ability to price those input costs into the market. And so in some cases, we perhaps may even reformulate the products. But in the vast majority of cases, we can take pricing and cover our costs, and in fact, we can take pricing and cover our margins, has tended to be how the company has operated over the years. So I wouldn't tell you that this -- what we're in right now would be any different from any other point in our history. From our standpoint, there's some very obvious increases in propylene, glycol, and coconut oil, and soy, and things of this nature. I don't really believe a lot of those are permanent. I think some of these will regress back to the mean. But certainly, there's inflation with respect to transportation. But again, these are things in -- they're a little bit more abnormal than normal, but businesses always have to contend with input costs coming up. So we feel very, very confident in the formula that we use from a pricing standpoint, and I feel very good about the back half. And I do not believe inflation is an issue for this company as we move forward.
Ghansham Panjabi: And then just my second question on the contribution margins. I mean, just looking at color, just looking on Slide 13, local currency adjusted revenues, plus 7%, and operating income, up 5%. Why wasn't it more substantial, just given that Personal Care is coming back for you?
Paul Manning: Yes. So that's a great question. There should be more operating leverage as we go into the back half of the year. A couple of factors there. The big one is that Personal Care volumes have really just been down for about the last year. So without getting into accounting gobbledygook, you can just see that as lower utilized plants, but we were hitting the inflection point kind of as we speak, maybe even a little bit at the end of Q2. So you'll see a much bigger uplift from the growth in Personal Care to the profit line as we get into the back half of the year. And then as we go through our pricing, the timing between input costs going up and pricing being effective, there's oftentimes a little bit of a gap there. So that might have compressed the margin 1 point or 2. But I would tell you that the bigger impact there on Personal Care is just the less than normally utilized plants carrying in. But you can project that out pretty cleanly and see as we get into Q3 and Q4, that the operating leverage will be quite a bit better in the Color Group for the rest of the year, and then, of course, driving us to maybe even beyond the 20% OP margin.
Operator: The next question is from Mark Connelly with Stephens. Please go ahead.
Mark Connelly: Paul, can you talk a little bit -- can you talk a little bit about product development relative to normal and what customers are saying. You did mention the increased sampling. But we're still seeing categories like food service holding back on introducing new products. So maybe you could help us understand sort of the early and sort of later stage, how that feels like it's coming back?
Paul Manning: Yes. So general comment. If I were to compare 2020 to 2019, you would see that the total number of launches in places like the U.S., in Europe, the total number of launches were about the same. So if companies launched X number of products in 2019, they also launched like X number of products in 2020. And so what really the dynamic that changed there is who is making the launches, and we saw a disproportionate number of launches from more of those local and regional customers, what I call the B and C folks. There were more launches coming from that group of customers than the larger, whatever you want, a, multinational type customers. So that dynamic continued into 2021. I mean, certainly, there's been some improvement there, more launch activity, or certainly indications at other multinationals of increased launch activity as we get into 2021. But that's probably the biggest dynamic at play there. But I would tell you that there's certainly more activity. Many of these largest companies are -- we see more activity with their employees coming back to their labs to develop products. It was very, very hard for many of them to do that in the last year as many of the folks were at home. But we see that improving in the U.S., we see that improving in parts of Europe, we see that improving in parts of the Asia-Pacific as well. China for all intents and purposes is open for business, and there's pretty much nearly universal access to customers and customers coming to us. So if you look at that as a continuum, and as much as China faced much of COVID in the early stages, it provides maybe a good template for what we could expect to see in other parts of the world.
Mark Connelly: That's helpful. And just a second question. The weather that Ghansham mentioned, are you concerned about the impact on your dehydrate natural products business? Do we have to worry about whether extremes creating more volatility there?
Paul Manning: Well, weather moves in cycles. And so we've had to respond to that for decades in that business. And so like any agricultural company, you have times where the yield is what you expect, and sometimes it's a little bit more, sometimes it's a little bit less. And so the early indications for this year's crops are good in terms of yields. And so, yes, we grow in a fairly broad area. So while there may be drought-like conditions in some other parts where we're growing, may be just fine. And so I think the footprint for where we're growing is diversified enough at this point that I would not be ringing any alarm bells for our business there. And as much as we talk about the other parts of our business, say, natural colors, for example, or extracts, where we're either growing or working with contract growers, there again, having a diversified growing base has been a big, big part of our strategy for many years for this very reason. So I think we're very well prepared for it. And again, I think the biggest factor there is the footprint could really safeguard against any really catastrophic weather event that we could face.
Mark Connelly: Sure. If I could just squeeze in a quick one for Steve. Last quarter, we had a couple of unusual impacts on cash flow with the incentives. Is there anything like that this quarter or that we should be thinking about for the second half?
Steve Rolfs: No. So you're right, year-to-date, if you look at our cash flow, it is down partly because of the incentive payments early in the year versus last year. But the main impact you see in this quarter is just with the rising sales, a little bit of working capital usage, particularly in receivables. So last year, Personal Care sales were declining. This year, they're increasing. So that is the main factor. And I don't have any things to call out other than that for the rest of the year.
Operator: Your next question is from Heidi Vesterinen with Exane BNP. Please go ahead.
Heidi Vesterinen: First question on your upgraded top line guidance. Which segment is driving this? And is this driven by volume, or price, or both? That's the first question.
Paul Manning: Okay. So I would tell you, it's pretty broad-based. We're seeing good growth in flavors, in natural colors. We're seeing it in Personal Care. I would say Personal Care is probably going to be a little bit higher than the others at this point because there's a fair amount of recovery built into that number. Up until now, it's really been volume. I would suggest that there was very little price impact in the first half of the year. But as we get into the second half, it's going to be volume and price that's going to be driving that top line.
Heidi Vesterinen: And digging into Personal Care, so you sound very upbeat on the outlook. Can you talk about what you're seeing in each region? And do you have a view on when we might get back to pre-pandemic levels in each region, please?
Paul Manning: So yes, the regions have kind of been in very interesting cycles. We have seen -- and we break it up really into 4. We talk Latin America, Europe, Asia, and North America. The strongest recovery we're seeing right now is in Europe and North America. We're seeing a very, very strong recovery in color cosmetics and in hair care. I think skin care has been pretty steady throughout for those regions. Latin America has been a very strong factor -- a growing factor for us. They had an outstanding year last year. And so we're seeing a little bit of the slowdown now really driven a lot by COVID activity. So even though COVID was alive and well in the region in 2020, we were able, and our customers were able, to really manage through that very well. And we had a very, very strong year there. Now we're starting to see more of those impacts from COVID on our customers on the populations. And so growth has sort of tapered off a little bit in Latin America for the moment. But Asia, a lot of it depends on the country. I mean, overall, they did okay last year. They took a little -- but they can take ups and downs depending on what lockdowns may be in place in Asia. And that's what's really driving a lot of the topsy curvy outcomes here in Asia is that lockdowns will go away and then they'll come back, and then they'll go away and they'll come back again. But overall, I think Asia should be in a pretty good position for the back half of the year. But the short answer, again, is largely Europe and North America is going to lead the outsized growth in the back half of the year. Latin America, I hope they will kind of weather through some of their COVID storms and resume to be in a much better position as we get into 2022. And then Asia, really, again, it could be up, it could be down a little bit. But net-net, for Personal Care, we're going to have a very good second half now that we've got better utilization on the plants. You're going to see better operating leverage coming out of that group as well. And that's going to feed a lot of the top line and the bottom line growth for the Color Group. But I don't want to discount the very nice growth we're also having in natural colors as well, which is going to continue to drive this growth.
Heidi Vesterinen: And then as a final one, when we look at flavors, extracts and flavor ingredients, very nice double-digit growth. Could you give some color on the 3 parts?
Paul Manning: Sure. So you're right, Flavors has -- traditional flavors, your traditional sweet, savory, beverage, up double digits, and more or less in most regions, we're doing very, very well there. We continue to emphasize that part of our product line. Our ingredients were up. It looks like red hat, I'm looking at the sheet right from me, kind of high single digits. And then within our S&I, we were looking more like about mid-single-digit growth. So overall, that put us in the high single-digit category as you're gathering from that, pretty good growth across the board. But we've got a lot of work to do. There are a lot more customers we can sell to, there's a lot more wins we're going to capitalize on, and so I feel very, very good about their growth prospects moving forward.
Operator:  The next question is from Mitra Ramgopal with Sidoti. Please go ahead.
Mitra Ramgopal: First, I just want to follow back up a little more on the Personal Care side. I know you're very upbeat in terms of outlook there. And the one thing I think is a concern for some is with the surge of delta variant in places like market that has already had a difficult time, people returning to the office, et cetera, this might sort of prolong that. And I'm just wondering if we do have that kind of a situation, if you still feel very upbeat or bullish in terms of that business recovering even faster than you've seen so far?
Paul Manning: Well, I don't want to get into a public policy commentary about how governments may respond to the delta variant or any other changes in COVID. But I think there is a critical mass of countries, customers that I think that will drive a lot of this growth. Really, as you look at 2020, I mean, we've really kind of bottomed out in that business. But now with -- yes, big parts of the world opened and other parts opening or open enough that consumers are using these products, I feel good about that. Now Asia is a bit of a -- it's a little bit of what you're getting at there. As lockdowns come and go, that can certainly impact the market, and we have seen that in Asia. But in my opinion, Europe and the Americas, maybe more specifically North America, I think that momentum is going to continue. And as we look at our pipeline, as we look at customer launch activity, sample requests, they are all pointing in that direction of good back half, good first half of 2022. And so as I'm sitting here today on July 23, that's kind of the way I'm seeing the world. We continue to diversify this product line as well. You may recall that historically, we had a very, very strong part of our portfolio was color cosmetics. But over time, we've really diversified more into hair care, skin care, oral care, even bath- and shower-type products. And so I think we continue to diversify the business. Those product lines, some of them did actually quite well during 2020 because they weren't incumbent on somebody socializing and being outside, skin care, for example. So I would tell you that for all those reasons, I think the back half is going to be as good as I'm thinking it is. As I sit here and well, I can tell you a daily sales look like right now, Mitch, I got it right in front of me. It looks good. It looks good for July, and it looks good for August, and it looks good for September. So yes, that's what gets -- so the confidence is very well founded in looking at the numbers and seeing what the customers' activity is.
Mitra Ramgopal: Okay. No, that's great. And then just I think you mentioned this earlier, but as it relates to the supply chain challenges as some companies have communicated, for example, demand is not the issue. Just getting the product out to just a shortage in terms of trips or getting sort of to move the product. Just wondering if you have any of those issues on your end?
Paul Manning: Okay. Yes. So on the -- sorry, I was just your call -- you came in a little bit broken on that one. But I think your question is overall supply chain. It's hard to get stuff, it's hard to get carriers, you're reading a lot of the stuff in the paper. But yes, hey, listen, friction is part of managing a business. And we expect our managers and the folks who are running our plants and our supply chains to deliver the goods. And whether it's tough times or easy times, you got to deliver the goods or you're not working in the right place. And so our expectation and our focus around on-time delivery and meeting our customers' expectations has not faltered. It's a big part of why we won a lot last year, and we are winning a lot this year. And so we expect our businesses to manage through that. In some cases, we do that with additional safety stock. In other cases, we -- let's just say, there's a lot of ways that you can manage your supply chain to meet your customers' expectations. And so, sure, it's tough out there. But you know what, that's why we have people and leadership positions to overcome those. And I would tell you that we're overcoming those very well. And there are -- you read about labor shortages. Well, you know what? Recruiters recruit. And whether it's hard or easy, if you're any good as a recruiter, you're going to be able to recruit in any environment. And if you're good as a plant manager, you're going to be able to produce in any environment. And those are the expectations we have of our employees. We have very high expectations, and they meet them. And so I feel good about our ability to navigate through whether it's inflation, whether it's shipping challenges, whatever it may be, we work from the office, we operate with a lot of dedicated employees, and for us, it's about results. And so I think that culture permeates all of our locations and all of our business lines. And so our employees know the expectation is you deliver the goods to the customers. No excuses. And this time is a perfect example of putting that into practice.
Mitra Ramgopal: Okay. No, that's great. And then finally, just if you could provide maybe a little more color on the Flavor Solutions acquisition. Now with the divestitures pretty much behind you, the appetite for being even more aggressive on that front and if it's going to be more technology driven like we saw with Flavor Solutions.
Paul Manning: Yes. Flavor Solutions is -- there's a lot of things we like about it. It's about $10 million in revenue. It helps us to extend some of our technology platforms. As I've said many times before in these calls, there's no flavor company in the world that has a lock on every case modulation technology. So for example, flavor company X may have a really good sweetness enhancement for this particular drink but that doesn't mean it works in every sweet-related application. And so the ability to have complementary technologies and an expansive list of solutions really is what makes you a good flavor company. And so Flavor Solutions adds to our capabilities there. They have a very nice library of reaction flavors. They have very good customer relationships. We oftentimes think it's only the big flavor companies that have access to really good customers, and that's just simply not the case. And so Flavor Solutions has built up some really good customer relationships over the years, and they're able to deliver very good products to them, too. So a couple of reasons why we like them. And of course, as I've always said, we want something that we can integrate without a lot of headache and cultural issues. There's a very strong cultural connection. I think we very much see the importance of managing and we see the importance of putting our customers first, and those things are very, very clear in both sensing and flavor solutions. And so I feel very, very good about flavor solutions. I've also said in the past about acquisitions. We want to make them reasonable. They should be purchased for reasonable multiples, and you can integrate them and you can build upon your business and I think it checks the box on each one of those expectations that we have. And so then looking forward, sure, I've got a pipeline of businesses that we're interested in and maybe we'll have more to talk about later in the year. But again, we're not going to rush things and we're not going to do anything that doesn't make sense strategically or financially for the company. So we're going to maintain our discipline there. But sure, we may have some other things to talk about as we move into the future.
Mitra Ramgopal: Okay. No, that's great. And before I go, congrats on the box. Great .
Steve Rolfs: Congratulations on the box.
Paul Manning: Yes. Thank you. I can't say I had much to do with that, but I enjoyed watching them on TV.
Mitra Ramgopal: It's nice to enjoy it. There you go.
Operator: The next question is from Leigh Ferst with HighTower Advisors. Please go ahead.
Leigh Ferst: I have a follow-up question about inflation. I understand you can usually pass along inflation in the form of price, and I understand that's a moving target with the supply chain right now. But is there any ingredient or any price point where you would get concerned that you could not pass on price and protect your margins?
Paul Manning: Yes, I'm not going to tell you that 100% of products to 100% of customers lands in the place that both parties are happy with. And so in some cases, I think another hallmark of our business is we have the ability to formulate something different, formulate an alternative to what we've been using. That can certainly be the case. But I think overall, we're going to -- I think we're going to land in a good spot here. We've got a great deal of confidence with that. Again, that's born of actually seeing what's happening in the market, seeing what our performance has been with pricing over the years. So I don't think there's anything out there that's really going to be a problem. There's no one raw material to this company that's going to bring us to our knees. And so that's yet another great feature of these ingredient businesses is you have a highly diversified raw material supply base, which also provides some level of insulation in the face of pretty broad-based inflation. So in short, we're managing through this, and I don't have any concerns about our ability to manage through this just as we've managed through many of these before now.
Leigh Ferst: And in terms of the acquisition, can you give us any more insight into their end markets or end products that they're complementary to what you're doing already? Or if there's something new? And also, what is the deal environment? Is there more competition for acquisitions right now?
Paul Manning: Sure. So I think speaking about Flavor Solutions, I mean, a lot of the technology -- the complementary technologies in the realm of taste modulation. So things that help you have sweetness without using as much sugar, for example, help you have that salty sensation without as much salt actually being used. So yes, they would provide some enhancement to, for example, our savory flavors platform. So that would be an example for you. With respect to other companies that could be on the horizon or could be something that we're interested in, yes. I mean, a lot of companies, there are auction processes, but in other companies, you forge a relationship over time that may then lead to an acquisition. In some cases, you not acquire all. You may just license because then you get what you need without going through the dynamics of an acquisition. And so I wouldn't tell you that it's any more or less competitive now to buy a company than it was a couple of years ago. It's really just a matter of whether a seller is interested in selling. Not every company is for sale, contrary to some folks who believe that, that is the case. Many companies are family owned for many generations, and they have no interest whatsoever in selling to anybody at any price. But then there are many others that it's a matter of timing and it's a matter of a win-win on a from a financial standpoint. So yes, I wouldn't say there's anything necessarily unique about this time in place with respect to the types of businesses that we are looking at. Maybe others have a different opinion on that, but that's just what I have seen for the last year.
Operator: There are no further questions at this time. I will turn the conference back over to the company for any closing remarks.
Steve Rolfs: Okay. Thank you very much for your time this morning. That will conclude our call.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.